Operator: Good morning, and welcome to the Brunswick Corporation's 2015 Third Quarter Earnings Conference Call. All participants will be in a listen-only mode until the question-and-answer period. Today's meeting will be recorded. If you have any objections, you may disconnect at this time. I would now like to introduce Bruce Byots, Vice President, Investor Relations.
Bruce J. Byots - Vice President-Investor Relations: Good morning, and thank you for joining us. On the call this morning is Dusty McCoy, Brunswick's Chairman and CEO; Mark Schwabero, President and Chief Operating Officer; and Bill Metzger, CFO. Before we begin with our prepared remarks, I'd like to remind everyone that during this call, our comments will include certain forward-looking statements about future results. Please keep in mind that our actual results could differ materially from these expectations. For the details on the factors to consider, please refer to our recent SEC filings and today's press release. All of these documents are available on our website at brunswick.com. During our presentation, we are using certain non-GAAP financial information. Reconciliations of GAAP to non-GAAP financial measures are provided in this presentation, as well as in the supplemental information sections of the consolidated financial statements accompanying today's results. I would like to also remind you that figures in this presentation reflect continuing operations only unless otherwise noted. I would now like to turn the call over to Dusty.
Dustan E. McCoy - Chairman & Chief Executive Officer: Thanks, Bruce, and good morning, everyone. We've had a nice third quarter. In fact, our third quarter represents the fifth consecutive quarter that constant currency revenue growth rates have exceeded 10%. And our 2015 outlook continues to reflect another year of strong earnings growth, free cash flow and investment in our businesses. Reported revenue in the quarter increased by 6%. On a constant currency basis, revenue increased by 11%. The strongest growth rates were reported by fiberglass outboard boats and fiberglass sterndrive/inboard boats. This growth also included a solid performance by marine parts and accessories, outboard engines, fitness equipment and aluminum boats. Our gross margin increased 60 basis points compared to the prior year. Operating expenses increased by 1%, and were 16.7% of sales. As we detailed in our July call, we forecasted that Q3 operating earnings to reflect incremental operating leverage in the low-20% range. Leverage in the quarter, in fact, was approximately 35% on an as-adjusted basis. This outperformance in leverage was primarily caused by lower operating expenses compared to our guidance, as we benefited from favorable mark-to-market adjustments to our compensation accruals, lower spending and retirement expenditures in the future periods, which we did without sacrificing spending associated with our long-term growth plans. Adjusted operating earnings increased by 22% versus prior year, with operating margins of 11.7%, up a full 160 basis points compared to last year. Continuing down the P&L, adjusted pre-tax earnings increased by 25% and diluted EPS as adjusted was $0.77, reflecting a 22% increase over the prior-year period. Our third quarter sales performance reflects solid market demand, as well as contributions from recent investments in new product launches throughout our organization. On a constant currency basis, sales in our combined Marine segments increased by 11%, while our Fitness segment increased by 9%. From a geographic perspective, consolidated U.S. sales increased by 14%. On a constant currency basis, international sales increased by 5%, with European sales up 7% and rest-of-the-world sales up 4%. Adjusted operating earnings were $115.8 million for the quarter, an increase of $21.2 million compared to 2014. Our adjusted operating margin of 11.7% reflects a 160 basis point increase compared to the prior year. Let's take just a moment to provide our perspective on the marine market. In the first nine months of 2015, the U.S. fiber boat industry grew 5.3% based on preliminary data, as once again outboard boats demonstrated the highest growth rates. The third quarter, which on average comprises about 30% of the year in retail, reflected a growth rate of approximately 4.8%. Our initial assumption for 2015 U.S. industry growth reflected a rate comparable with that of 2014, and as you can see from this chart, this assumption continues to be reasonable. Now, I'll provide some color on marine markets outside the United States and let's start with Europe. Overall, year-to-date retail boat and engine market volume was up by mid-single digit percentage, and it's expected to continue at this rate through the end of the year. Regions experiencing solid to strong growth included most of Scandinavia, Spain, Italy, the UK and Germany. The French market was relatively flat. The Eastern European and Russian markets, which are more important engines than the boats, continued to see declines. Because most Brunswick marine products sold in Europe is priced in local currency, the strengthening of U.S. dollar hasn't affected retail demand. However, the negative effects of translation are lowering margins on product not manufactured in the region. In Canada, third quarter retail was down by an approximately high-single digit percent, following a difficult first half. This was primarily due to the continued strength of U.S. dollar and the slowing economy in the oil-driven portions of Central and Western Canada. As we stated on the last call, this second half weakness was expected, and the dealers are now mostly selling product purchased at a stronger U.S. dollar exchange rate. For the full year, we're planning for overall demand in Canada to be down high-single to low-double digit percent. In the Asia Pacific region, retail market demand was down, and we expect this to continue through the remainder of the year. And then finally in South America, the retail market continues to be down double digits compared to the same period a year earlier. The weakening real has severely limited boats being imported into Brazil from the United States or Europe. Brunswick brands manufactured in Brazil have continued to pick up market share, but we're still challenged for sales into an overall weak retail boat market. For the full year, we're planning for the overall South American market to be down double digits. So in summary, global market unit demand for the year is trending toward an increase closer to the lower end of our long-term growth range of 3% to 5%. Now, I'll turn the call over to Mark for a closer look at our segment results.
Mark D. Schwabero - President, Chief Operating Officer & Director: Thanks, Dusty. I'll start with the Marine Engine segment where third quarter sales on a constant currency basis increased by 8%. Overall, acquisitions contributed 2% to the segment's year-over-year growth. From a geographic perspective, sales in the U.S. were up 7%, reflecting increases in all major product categories. Excluding acquisitions, our U.S. sales increased approximately 6%. Sales to Mercury's European customers, excluding currency changes, were flat, as modest sales growth were offset by weakness in Russia. Rest-of-World sales on a constant currency basis increased by 16%, which included the benefit from the BLA acquisition completed in the second quarter of 2015. Performance of this region included the impact of market weakness in Brazil. For the nine months, the segment's sales on a constant currency basis increased by 11%. Overall, acquisitions contributed 4% to the segment's year-to-date growth. On a product category basis, the outboard engine business reported solid overall sales growth in the quarter, which included strong contributions for Mercury's 7590 and 115 horsepower four strokes, which were introduced in the second quarter of 2014, as well as growth from the new 350 and 400 horsepower engines launched in Q1 of 2015. Our new four stroke engine platforms are rapidly replacing our two-stroke offerings. These new engines have led to market share increases within these higher horsepower categories, including gains in targeted salt water, repower and commercial markets. This shift in outboard mix, along with market share gains are creating short-term challenges for our manufacturing footprint but we are addressing these with our ongoing capacity expansion actions. Sterndrive engine sales continued to be affected by unfavorable global retail demand trends. However, our recently introduced purpose-built marine engines are starting to have a positive impact on our already strong position in this market. Additional offerings, including the new 6.2-liter V-8 300 horsepower and 350 horsepower models were introduced in early Q3. These engines leveraged the investment from the previously introduced MerCruiser 4.5-liter V-6 platform for 200 horsepower and 250 horsepower engines. Mercury's parts and accessory businesses delivered solid sales growth during the quarter with gains in most major markets. Revenue benefited from acquisitions, new product launches and market share gains. In addition, the continued sales records achieved by our portfolio of distribution businesses, including Land 'N' Sea, Kellogg Marine, Diversified Products, Bell, and BLA, all demonstrated their ability to deliver on superior product availability, on time delivery and product category expansions. As anticipated, we've seen year-over-year growth rates in the first half of 2015 outpace our expectations for growth in the second half of 2015. These differences in growth rates between the first half and second half are largely due to just different weather patterns between the two years. Our growth expectations for the full year remain in line with the planned growth rates for this business. Mercury's operating earnings increased by 10% compared to last year's third quarter. Operating margins were at 17.4%, 90 basis points higher than the prior-year quarter. The improvements in operating earnings reflected higher sales, including a favorable product mix benefit from the recently launched outboard products in our parts and accessories growth. Cost reductions and savings related to sourcing initiatives also contributed to the increase. Partially offsetting these positive factors were the unfavorable effects of foreign exchange. For the nine months operating margins were 16.8%, 70 basis points higher than last year. Turning to the Boat segment, third quarter revenues on a constant currency basis increased by 19% with strong growth rates in fiberglass outboard boats and fiberglass sterndrive/inboard boats, as well as solid gains in aluminum boats. On a year-to-date basis, our boat brands continue to make progress in gaining share. In the U.S., which represented over three-fourths of the segment's sales, sales increased by 29%. In the quarter, European sales on a constant currency basis, increased by 28% versus the prior year. This performance resulted from the introduction of new products, including larger, more fully featured products by our European manufactured outboard boat brands. Our U.S. brands are also doing well with their European manufactured products. Rest of world sales on a constant currency basis decreased by 17%, reflecting the weaker demand in Asia-Pacific, Canada and Brazil. So in the first nine months, our overall Boat revenues on a constant currency basis increased by 15%. In the third quarter Brunswick's global retail unit sales decreased by 1% compared to the prior year. U.S. retail units increased by 6% in the quarter. Global wholesale unit shipments increased by 11%. This increase in wholesale unit shipments compares to the Boat segment's constant currency sales increase of 19%, as revenues also benefited from a favorable shift in mix. For the nine months, global retail unit sales increased by 4% compared to the prior year. U.S. retail units during the same period increased by 8%. Global wholesale unit shipments were also up by 4% versus an increase in dollar sales of 12%. Regarding our pipelines, dealers ended the quarter with 27 weeks of boats on hand, measured on a trailing 12-month basis and this compares to 27 weeks at the end of Q3 2014. Unit pipelines for aluminum products are up modestly compared to last year due to an expanded distribution network and new product introductions. Total fiberglass unit pipelines are down versus the prior year. Our plan assumes that the wholesale unit growth rate for the full year will approximate the retail unit growth rate. Our plan also assumes that benefits from higher average selling prices resulting from mix will continue into the fourth quarter as year-over-year growth rates for our larger fiberglass boats remains strong. In addition, the current pipeline levels are appropriate given our growth expectations in the various boat categories, and we continue to be comfortable with the overall levels. The Boat segment's third quarter adjusted operating earnings increased $12.5 million when compared to the prior year. Operating margins were 2.4%. This reflects a 500-basis point increase over last year's third quarter as adjusted result. The operating performance in the quarter benefited from higher sales, a favorable product mix, as well as savings related to sourcing initiatives and cost reductions. For the nine months operating margins were 3.7%, 100 basis points higher when compared to the prior year's as adjusted results. On a constant currency basis, sales at Life Fitness increased by 9% for the quarter. Growth resulted from higher sales to U.S. health clubs and local and Federal governments, as well as sales gains in international markets, particularly in Europe and the Asia-Pacific region. In July, we completed the acquisition of SCIFIT, a leading provider of exercise equipment tailored to the needs of active aging seniors, as well as the medical wellness and rehabilitation market. SCIFIT contributed about 3% to the segment's growth rate in the quarter. The segment continues to benefit from new product introductions in all regions with this quarter representing its 12th consecutive quarter of year-over-year revenue growth. So for the first nine months on a constant currency basis, sales at Life Fitness increased by 8% and the SCIFIT acquisition contributed 1% to the segment's year-to-date growth. Segment operating earnings in the quarter increased by 7% as the favorable impact from higher sales, cost reductions and savings related to sourcing initiatives were partially offset by the impact from foreign exchange. Operating margins were at 14%, 30 basis points higher than the prior year. For the nine months, operating margins were 13.8%, 10 basis points lower than last year. As a reminder, the year-to-date results reflect the absence of the favorable warranty adjustment, which occurred in the first quarter of 2014. And now, I'd like to turn the call over to Bill for some additional comments on the financials starting with a consolidated perspective on how foreign exchange has affected our results.
William L. Metzger - Chief Financial Officer & Senior Vice President: Thanks, Mark. I would like to start with discussing the impact that foreign currency is having on our sales comparisons. As a reminder, our most material exposures include sales in euros, Canadian dollars, Brazilian real and Australian dollars. In the third quarter, consolidated sales comparisons were negatively affected by approximately $38 million or 4.1%, which was largely in line with our previous guidance. For the full year, we are estimating a 4% impact on year-over-year comparisons. The impact on operating earnings in the third quarter was approximately $6 million. For the full year, we are estimating that operating earnings comparisons will be negatively affected by approximately $30 million or 8%. This estimate includes the impact of translation on all sales and costs transacted in a currency other than the U.S. dollar, benefits from hedging activities of $12 million, and pricing actions in certain international markets in response to the strengthening of the U.S. dollar. Our estimate also reflects performance through nine months that was in line with our previous expectations and incorporates our normal increases in hedges against Q4 transactions. Additionally, estimates for the full year assume that rates remain consistent with current rates for the remainder of the year. Regarding our tax provision, our year-to-date effective book tax rate for 2015 as adjusted was 34.3% through the end of the third quarter versus 34% through the end of the second quarter. This 30 basis point increase was mostly due to additional losses we are experiencing in Brazil, resulting from currency losses and a weak business environment. The effect of the increase in the year-to-date rate was recorded in Q3, which resulted in an effective tax rate as adjusted of 34.9% for the quarter. Our effective book tax rate for the full year 2015 guidance remains at 34%, which excludes any benefit from the potential extension of the U.S. R&D tax credit, which would lower the rate by approximately 1.5% for the year. Our estimated effective cash tax rate for 2015 reflects a low-teen percent level. Turning to a review of our cash flow statement. Year-to-date cash provided by continuing operating activities was $240.7 million, an increase of $113.3 million versus the prior year. As planned, pension contributions were approximately $73 million in the first nine months of the year, an increase versus the prior year due to timing of our 2015 pension contributions. Normal seasonal changes in balances resulted in a use of cash in our primary working capital accounts, and totaled approximately $82 million, which is substantially improved from the prior year. The biggest changes occurred in inventory, which increased by $45 million, accrued expenses decreased by $42 million, accounts and notes receivable increased by $11 million, and accounts payable increased by $16 million. Year-to-date, our working capital performance has improved versus the prior year due to better inventory management and timing of collections. We continue to anticipate a seasonal liquidation of working capital over the balance of the year. Year-to-date free cash flow was $131 million versus approximately $49 million in the prior year, an increase of $82 million. Capital spending was approximately $99 million, which included investments in new products in all of our businesses, as well as capacity expansion projects. Our business units continue to remain focused on generating strong free cash flow, which will allow us to continue to fund future investments in growth, including acquisitions, as well as enhanced shareholder returns. Cash and marketable securities totaled $654 million. The change from year-end 2014 reflects year-to-date free cash flow, as well as cash returned to shareholders through share repurchases and dividends of approximately $100 million, and $35 million respectively. Also during the year, acquisitions totaled approximately $19 million. In addition, the change in cash reflects net proceeds received from the sale of the Bowling Products business. Let me conclude with some updated outlook comments on certain items that will impact both our P&L and cash flow for 2015. Our estimates of these items are largely unchanged from our previous guidance. I would like to provide an update on our share repurchase activity and shares outstanding. Our estimate of average diluted shares outstanding for the full year of approximately $94.3 million reflects continued execution of our $200 million share repurchase program initiated in Q4 of 2014. Over the last four quarters, we have purchased approximately $120 million of stock, including $40 million in the third quarter. To-date we have repurchased about 2.4 million shares of stock under the program. On the cash flow side, our plan reflects approximately $70 million of cash contributions to our pension plans, which includes an amount that will be used to fund the lump sum benefit buyouts in 2015. Almost all these contributions were funded in the first half to maximize returns and reduce our pension expense. Our current plan anticipates working capital changes to result in a modest usage of cash of $10 million to $30 million and capital expenditures of approximately 4% of sales. We plan to generate strong free cash flow for the full year in excess of $200 million, which reflects the improvement in our year-to-date performance versus 2014. And now, I'd like to turn the call back to Dusty to continue our outlook comments.
Dustan E. McCoy - Chairman & Chief Executive Officer: Thank you, Bill. Our overall operating plans and assumptions for 2015 remain consistent with those we communicated on our last call. We continue to target 2015 to be another year of strong earnings growth with outstanding free cash flow generation. Our plan reflects approximately 7% sales growth, which includes benefit from the success of our new products, market share gains and the continuation of solid market growth in the United States and Europe, and completed acquisitions, partially offset by weakness in certain international marine markets. For the full year, we anticipate a slight improvement in gross margin levels to solid gains in operating margins. Our earnings growth in the second half of the year reflects savings related to sourcing initiatives and cost reductions, as well as less challenging FX comparisons. Earnings will continue to benefit from managing costs for initiatives such as Lean Six Sigma and by implementing programs to improve product costs through supply chain initiatives and manufacturing efficiencies. We will also continue to see cost reductions resulting from favorable commodity pricing trends. As a result of ongoing growth investments, full year operating expenses will increase, but as a percentage of sales are expected to be lower than 2014 levels, and slightly below 17%. As a result, with three-fourths of the year behind us, we're narrowing our 2015 EPS guidance as adjusted to a range of $2.80 to $2.85, reflecting a growth rate of 16% to 18%. If we turn to our segments, the 2015 forecast reflects continued revenue and operating earnings growth in our Marine Engine segment. Specifically, we're planning for revenue growth at the high-end of the mid-single digit percent range with a solid improvement in operating margins despite currency headwinds. Our plan continues to reflect a stable pricing environment for our larger horsepower engine business. Looking at our Boat segment, our plan assumes that we continue to successfully execute our large fiberglass boat strategy. We're targeting 2015 annual revenue growth in the low-double digit range, and we expect operating earnings to be up with full year margins approaching 3%. In our Fitness segment, our plan is based on continued revenue growth and maintaining strong operating margins. In 2015, we're targeting revenue growth in the mid-single digit range. We're planning for margins to be slightly up at Life Fitness for full year. In conclusion, I'd like to remind you that on November 10, we're having our Investor Day at the New York Stock Exchange. At this meeting we will be presenting a new three-year strategic plan, which reflects financial targets through 2018. We remain very confident in our ability to generate strong earnings growth and free cash flow in the next three years, and look forward to discussing with you our plans in New York. Thank you, and now we'll be happy to take your questions.
Operator: Thank you.
Bruce J. Byots - Vice President-Investor Relations: We're not hearing anything, operator, on our end.
Operator: Our first question comes from James Hardiman.
James Hardiman - Wedbush Securities, Inc.: Hi. Good morning. Couple of questions...
Dustan E. McCoy - Chairman & Chief Executive Officer: Hi, James.
James Hardiman - Wedbush Securities, Inc.: How're you doing?
Dustan E. McCoy - Chairman & Chief Executive Officer: Good.
James Hardiman - Wedbush Securities, Inc.: Good. Good quarter. A couple questions here on the operating margin front. First a little bit of a clarification, you talked about really good mid-30%s type operating leverage in the quarter, and how that was better than what you initially expected. Help us tease out how much of that was timing of items that are going to hit us in the fourth quarter, and how much of that was just better performance versus what you expected?
William L. Metzger - Chief Financial Officer & Senior Vice President: This is Bill, James. I would say, when you take a look at the operating expense out performance, you kind of think of it as a third of it that was re-timed into the fourth quarter, and the other two-thirds are things that happened that we had anticipated. The largest was benefits from marking to market some of our comp accruals that are tied to equity prices.
James Hardiman - Wedbush Securities, Inc.: Got it. And then just help with...
William L. Metzger - Chief Financial Officer & Senior Vice President: I think it's fair to say – we would say that, most of it is good performance, really good performance.
James Hardiman - Wedbush Securities, Inc.: Okay. So I guess, that leads to my next question. 2015 is sort of the tale of two halves when you think about operating margins, right, first half of the year relatively poor, second half of the year really strong. You average out in that low to mid-20%s type range that you guys have talked about. Understand why the first half saw a hit from incremental investments, and maybe there's some one-time benefits in the second half. But help me understand why, as we move into 2016, and a lot of the investments that you guys have made that haven't really been contributing a whole of revenues, help me understand why next year won't look a lot more like the second half, where you saw really good or you're seeing really good leverage versus what we saw in the first half?
Dustan E. McCoy - Chairman & Chief Executive Officer: Well, the one thing we've promised ourselves going on in this call is, we were not going to be talking about 2016. In a couple of weeks, James, we're going to be detailing in real depth how the company is going to look 2016 to 2018, and I think everybody's going to be really happy with what we've got to say. But can we just kick that forward to the 10th?
James Hardiman - Wedbush Securities, Inc.: Absolutely. Perfectly fair.
Dustan E. McCoy - Chairman & Chief Executive Officer: Thanks.
James Hardiman - Wedbush Securities, Inc.: My apologies.
Dustan E. McCoy - Chairman & Chief Executive Officer: You don't need to apologize.
James Hardiman - Wedbush Securities, Inc.: Maybe we can talk just a little bit about the Fitness segment. If you talked about it in the prepared remarks, I apologize, but talk about end (33:15) movement a little bit. You've got – you had your first set of products that came out in, I believe early August, and then you had some stuff late September. Are you producing any material revenues there? How should we think about the margins of that business? And is that at all material this year? Or is it more 2016 and beyond?
Dustan E. McCoy - Chairman & Chief Executive Officer: Not material this year in either revenue or margins. Margins will be strong as we sell product, and I think as we look at real benefit to the business, again this is something we'll discuss in our November 10 meeting, but I think real affect on the business will be after 2016.
James Hardiman - Wedbush Securities, Inc.: Got it. That's all from me. Thanks, guys.
Dustan E. McCoy - Chairman & Chief Executive Officer: Okay.
Operator: And the next question comes from Joseph Spak.
Ritapa Ray - RBC Capital Markets LLC: Hi, this is Ritapa Ray signing in for Joseph Spak. Just a couple of questions, I think you used Volkswagen engine blocks for the diesel side of the engines. So, to the extent diesel automobile start going away, do you need to consider building your own engine blocks similar to what you did on the gasoline side?
Mark D. Schwabero - President, Chief Operating Officer & Director: This is Mark. The answer to the question is that, the engines we buy first of all aren't involved in anything relative to their situation. So there's really no need to have a concern about our situation and supply with Volkswagen for those engines.
Ritapa Ray - RBC Capital Markets LLC: Okay. Thank you. And the second one, on the Fitness side, you're looking for – to grow organically and inorganically, and I want to focus on your inorganic side for a second. So do you need to look for distribution in that area as well?
Dustan E. McCoy - Chairman & Chief Executive Officer: Can you help me – distribution around which inorganic growth?
Ritapa Ray - RBC Capital Markets LLC: Distribution of – if you acquired products to distribute them as well. Do you need to build that in? Or is it just – do you have the distribution, and you'd be fine just buying inorganically?
Dustan E. McCoy - Chairman & Chief Executive Officer: It's going to depend on where we go inorganically. As you – again, we're going to talk about this on November 10, but as we move into adjacent areas, we will be inheriting great distribution in some cases, and in others we may want to beef it up or roll it in to our distribution. And I'm assuming you're not talking about retail?
Ritapa Ray - RBC Capital Markets LLC: No.
Dustan E. McCoy - Chairman & Chief Executive Officer: Okay.
Ritapa Ray - RBC Capital Markets LLC: Thank you for taking my questions.
Dustan E. McCoy - Chairman & Chief Executive Officer: Quite welcome.
Operator: Our next question comes from Mike Swartz.
Michael A. Swartz - SunTrust Robinson Humphrey, Inc.: Hey, guys. Good morning.
Dustan E. McCoy - Chairman & Chief Executive Officer: Hi, Mike.
Michael A. Swartz - SunTrust Robinson Humphrey, Inc.: Hey, just wanted to touch on the Engine margins this quarter. I know we're going to get more color on kind of how you think about margins longer-term in that business here in a few weeks. But I guess the number was really surprising to the positive, and understanding you had, I think in the third quarter last year, kind of a big true-up, I believe it was on a warranty expense. So in light of that, I mean, what – I guess, what's going on in that business, that's making profitability look that good? Is it just product mix, mixing more towards P&A? Or is there something structurally that's more profitable? I mean, leveraging some of the investments you've made in engine blocks or the outboard platform. Just – I guess help us understand that a little better.
Dustan E. McCoy - Chairman & Chief Executive Officer: All of that?
Mark D. Schwabero - President, Chief Operating Officer & Director: Yeah, all of it.
Dustan E. McCoy - Chairman & Chief Executive Officer: Look, our Engine guys are doing a magnificent job. Every piece of new product we come out with, and we keep stressing this, is higher margin, more profitable and bringing more throughput to our plants than anything it replaced. The P&A business is continuing to do grow – do really nicely, and the interesting thing with our Engine guys is our growing P&A business, we're reporting record growth in the distribution part of that business, which tends to be a bit lower margin. But we're doing a great job in the P&A business, holding margins and growing the top line. And then we've got to give the folks who work and live in our operations in the Engine business all the credit in the world. They're after cost, they're after Lean Six Sigma, we are benefiting from commodity price decreases. I can just keep adding up a whole list of things, Mike, but when you do it, it's just all of it and the guys are doing a great job of taking advantage of every opportunity they have.
Michael A. Swartz - SunTrust Robinson Humphrey, Inc.: And then just remind me in the Engine business, when does the labor pact run through?
Mark D. Schwabero - President, Chief Operating Officer & Director: Oh, it's 2021 I think. It's either 2020 or 2021. It's a long way off. 2021 is the date. It's a long way off, Mike.
Michael A. Swartz - SunTrust Robinson Humphrey, Inc.: Okay. Thanks. And then just following up I think, Mark, something you said about some of the share gains you're seeing in some of the higher horsepower outboard models that you've brought out over the past six months to nine months. Could you maybe give us a little more color behind that, quantification, where you think that share can go?
Mark D. Schwabero - President, Chief Operating Officer & Director: Well, we'll talk a little more when we're together on the 10th about where share can go, but what we've said in the past is that, our – taking the saltwater category, we've been in the high-teens, and we've said we've been moving that into mid to upper mid-20%s right now. So we're clearly seeing some nice growth there, and we'll talk more on the 10th about what the runway looks like ahead of that.
Dustan E. McCoy - Chairman & Chief Executive Officer: I would add, so people didn't miss any of Mark's comments because it was fairly poignant, my judgment is, we'd have even more share gains if we continue to make engines at the rate that we're seeing demand. And our new engines are being so successful, 350s, 400s as an example, that we've been surprised at the rate of demand. And we're going to be able to take care of it, because fortunately we've been working hard on increasing capacity. But interestingly, it has been a bit of a drawback for us. So as spectacular as the Engine business is looking right now, once we're able to get all the new capacity online, our ability to do better in these even larger engines is going to increase.
Michael A. Swartz - SunTrust Robinson Humphrey, Inc.: All right. Great. Thank you.
Dustan E. McCoy - Chairman & Chief Executive Officer: You're welcome.
Operator: And the following question comes from Lee Giardano.
Lee Giardano - Sterne Agee CRT: Thanks. Good morning, everybody.
Dustan E. McCoy - Chairman & Chief Executive Officer: Good morning.
Lee Giardano - Sterne Agee CRT: I was hoping you could provide an update on how the large Sea Rays are doing out there in the market today, and how are you doing on capacity in terms of manufacturing? Are you able to keep up with demand at this point? And what's the pipeline look like or the backlog so to speak? Thanks.
Mark D. Schwabero - President, Chief Operating Officer & Director: Yeah. We're quite pleased with how we're doing on the large product, and principally what we're talking about there are the L650s Fly and L590s Fly, those that are in our L-Class. Our production is coming along nicely, coming out of both our Palm Coast and Sykes Creeks facilities, those are running. They're not really, particularly the L650 Fly really isn't a pipeline or inventory boat, it's a lot more about retail sold that goes into production there. But our backlogs are there, the production's coming along quite nicely. And we're pleased with what we're seeing in the Large Boat segment.
Lee Giardano - Sterne Agee CRT: Great. And it seems like there's been a rebound in aluminum. Is there anything in particular driving that improvement? Thanks.
Mark D. Schwabero - President, Chief Operating Officer & Director: You're talking about aluminum fish boats?
Lee Giardano - Sterne Agee CRT: Yes.
Mark D. Schwabero - President, Chief Operating Officer & Director: A lot of – I mean a lot of that is just – and again, we'll talk a bit more on the 10th. But the – it's a lot about the fishing and people wanting to do that. It's a category of consumers that rely a lot about their view of the economy and what's really happening out there. And the other part is, is we're seeing the catch up between the retail and the wholesale activity in that segment. So the net-net is the consumer there is feeling good and making purchases and secondly, just the whole retail/wholesale mix piece coming together.
Lee Giardano - Sterne Agee CRT: Great. Thank you.
Operator: Our next question comes from David MacGregor.
David S. MacGregor - Longbow Research LLC: Yes. Good morning, everyone.
Mark D. Schwabero - President, Chief Operating Officer & Director: Good morning.
David S. MacGregor - Longbow Research LLC: Just back to the engines for a moment. I wonder if you could just update us on the expansion of your dealer network in the saltwater markets. And also, are you holding your market share in the freshwater markets at this point?
Mark D. Schwabero - President, Chief Operating Officer & Director: The answer is, yes on the freshwater piece. We're doing quite well there across all the categories whether you're talking about aluminum fish pontoon, et cetera. So we're holding the share there. Part of what's the dealer expansion really gets a lot, too, as we get on more and more OEM products, we – those OEM products bring us into more and more dealer locations. So that has a lot to do with how we're picking up distribution.
David S. MacGregor - Longbow Research LLC: And so with the V-8 offering and your purpose-built, I guess that bodes well more for 2016 at this point for the OEMs?
Mark D. Schwabero - President, Chief Operating Officer & Director: That's correct. We're just starting – you're going to see more impacts from that as we go into 2016 and beyond.
David S. MacGregor - Longbow Research LLC: Okay. And what drives growth? A lot of the new products are coming out kind of above fleet average margins as you indicated to an earlier question. I'm just – do we continue that kind of growth through – I realize you're going to talk about this at the analyst meeting, so maybe is there anything you can say about the extent to which it drives growth in 2016 and beyond at this point? Or are we really just kind of seeing a surge that might not sustain?
Mark D. Schwabero - President, Chief Operating Officer & Director: Well, in terms of the margin question, we've talked about it a lot in the past that as we bring out new products we want them to cost less than the products they're replacing. The other part is some of the – the new products are getting featured up fairly heavily. So as you look at a 420 Outrage, the option contents on that or even on some of our larger fiberglass boats tends to be as it features up a little you'll pick up some margins on that as well. So it's a combination of what we're doing on cost and the content that's on those boats for some of the margin improvements.
David S. MacGregor - Longbow Research LLC: Okay. Thanks. Congrats on the progress.
Mark D. Schwabero - President, Chief Operating Officer & Director: Thanks.
Operator: Our next question comes from Gerrick Johnson.
Gerrick L. Johnson - BMO Capital Markets (United States): Hey. Good morning, everybody. Was there incremental costs from the expansion capacity in the Engine segment? Or was that negatively affecting profitability there? Or have we kind of lapped a significant portion of that so now it's more incremental the other way? Thanks.
William L. Metzger - Chief Financial Officer & Senior Vice President: Hey, Gerrick, this is Bill. There is a steady increase of fixed cost increases going on as we add capacity, but we're very much layering in capacity costs as sales and volume go up. So there's not some big step that's happening. It's happening incremental every year. So while it is a factor and it's something we've got to cover, it's not a big step function.
Gerrick L. Johnson - BMO Capital Markets (United States): Okay. Great. And after second quarter you kind of implied that ASP would be growing more slowly because of things like SPX (45:42). It doesn't seem to be happening that way. So what's your new outlook for ASPs? Should we think that they continue to grow faster than units?
William L. Metzger - Chief Financial Officer & Senior Vice President: I think if you take a look at our comments on the Marine segment and specifically boats, it implies that ASPs now we're expecting them to be a little bit better than we had as we ended the second quarter. And that has a lot to do with the success of the larger products and just a little bit of a tweak in production of some of the smaller.
Mark D. Schwabero - President, Chief Operating Officer & Director: And I think we're seeing people option up a little more...
William L. Metzger - Chief Financial Officer & Senior Vice President: That's correct.
Mark D. Schwabero - President, Chief Operating Officer & Director: ...in product, Gerrick.
Gerrick L. Johnson - BMO Capital Markets (United States): All right. Thanks, guys.
William L. Metzger - Chief Financial Officer & Senior Vice President: You're welcome.
Operator: Our next question comes from Rommel Dionisio.
Rommel T. Dionisio - Wunderlich Securities, Inc.: Yes. Thank you. Good morning. A question on the Engine business. As you guys have successfully captured market share in a variety of categories these last several quarters, have you seen anything unusually new in the last quarter in terms of a competitor response, whether that be pricing or promotions or discounting or anything like that? Thank you.
Mark D. Schwabero - President, Chief Operating Officer & Director: We're seeing maybe a little more promotional activity than we've seen in the past but, Rommel, I wouldn't say it's significant. But there is a little more activity out there but we're not seeing anything on the strategic pricing side, we're not seeing anything significant there from a real shift in behavior or patterns.
Rommel T. Dionisio - Wunderlich Securities, Inc.: Okay. Thanks very much. I look forward to seeing you all in a couple of weeks.
Bruce J. Byots - Vice President-Investor Relations: Thank you. Same here.
Operator: Next question comes from Craig Kennison.
Craig R. Kennison - Robert W. Baird & Co., Inc. (Broker): Good morning. Thanks for taking my question. Dusty, I wanted to follow up on a comment you made regarding the strength in your high horsepower engines. It sounds like you maybe lost some opportunity to sell product just because you can't build it fast enough. Are those sales deferred? Or are they simply lost for the period and you hope to regain share next time?
Dustan E. McCoy - Chairman & Chief Executive Officer: Hard to know but our judgment is probably deferred in view of the quality of the engines we have and the amount of backlog that we have but it's impossible to know if one has truly lost the sale but we've got a very strong backlog in our larger engines. It seems to be maintaining and it's something we're working our way through as we increase capacity.
Craig R. Kennison - Robert W. Baird & Co., Inc. (Broker): Is that backlog you discussed an OEM backlog? Or is it a consumer backlog?
Mark D. Schwabero - President, Chief Operating Officer & Director: No, Craig, it'd really be an OEM background because the bulk of – the vast majority of those engines are going into new boat production.
Craig R. Kennison - Robert W. Baird & Co., Inc. (Broker): Got it. So I would assume that the OEM could wait for off season and you'd get a chance to sell those units at some point in the next few months?
Mark D. Schwabero - President, Chief Operating Officer & Director: Yeah. That's where it may move the production of the boat out a little bit. And as Dusty mentioned, it's hard to tell if it's loss, but in general it might shift the production out a little bit. The only case if a consumer said gee, I don't want to wait, then it could get loss. But again, the time of the year and the season with in, in general, it just probably moves production out a little bit.
Craig R. Kennison - Robert W. Baird & Co., Inc. (Broker): Thanks. And then on the in-movement strategy, could you discuss what you're doing from a distribution standpoint given that's a new channel for you, this office fitness market?
Mark D. Schwabero - President, Chief Operating Officer & Director: Yes. It's really going through multiple channels, Craig. It can go through our current Life Fitness channel of in-movement product. It also is product that we've got out on our e-commerce site and capability there to go to a consumer direct. Third area is working through folks like wellness providers and corporations, who pull those products then are part of their wellness initiatives and things with corporations or others. So I mean, the point is there is multiple channels that are either referencing part of within the distribution of that product.
Dustan E. McCoy - Chairman & Chief Executive Officer: And I guess, Craig, one of the things that we'll be working on will be distributing through office furniture.
Mark D. Schwabero - President, Chief Operating Officer & Director: Yeah. Some of the new products, Craig, that we showed at – when we rolled things out at the end of September, some of that newer product will actually pull in folks like office furniture. It will also pull in some distribution literally coming through design groups since they're working on new buildings, offices, they'll be a source of referencing and sales as well.
Craig R. Kennison - Robert W. Baird & Co., Inc. (Broker): Thank you.
Bruce J. Byots - Vice President-Investor Relations: You're welcome.
Operator: Our next question comes from Tim Conder.
Tim A. Conder - Wells Fargo Securities LLC: Thank you. A couple of questions and I apologize if I missed one of these here. I got briefly disconnected. Any comment, gentlemen, that you gave or could give on the U.S. retail sales in dollars for boats? And then Mercury, whether that's organic or in total.
William L. Metzger - Chief Financial Officer & Senior Vice President: Tim, the U.S. retail dollar is an awfully hard metric to come up with in total.
Tim A. Conder - Wells Fargo Securities LLC: Okay. That's fair. And then just – I know it's been touched on a couple times here. But again, it sounds like you're fairly short on some of the larger horsepower outboard 4 strokes and again, I just want to clarify here. It sounds like you should have the capacity, incremental capacity, ready to go by Q1.Q2. Is that correct?
Mark D. Schwabero - President, Chief Operating Officer & Director: We're raising – I mean, a couple comments. You said incrementally short. I mean, we're producing high volumes every day. The point is that the rate of demand is a little higher right now and/or the rate of demand is equal to production, but it makes it a little tougher to really make a dent in the backlog. I want to make sure you kind of clarify that. We're running and delivering product every day out to our customers. In terms of the capacity that comes on, we'll have some of that coming on the – at the end of the fourth quarter and that's been our plan to really have that in place by year-end. And we're continuing to move along nicely in that area. So we'll be seeing some uplift as we go into early 2016.
Tim A. Conder - Wells Fargo Securities LLC: Okay. And then along that lines switching to boats. Two questions there. Dealers seem to continue to say you're short product. Are you basically leaving the market collectively slightly short there to minimize discounting and maximize margins? Or any additional color there. And then any tone or change of trends from August to now given the market volatility and any other macroeconomic cross-currents that we've seen over the last two to three months?
Mark D. Schwabero - President, Chief Operating Officer & Director: I'd start with a comment on you're, the first question, Tim. When you're bringing out new product and in particular some of that is white space product, you communicate you're coming out with something new and exciting and you create a demand for it and I think when people are saying gee, we just can't get enough product it's basically – it's not a case where we're limiting or not a case where we're trying to your example on the margin – it's basically a case where you try to create that demand and then fill the demand. Secondly, some of our white space product really isn't inventory boats, like the Whaler 420, the Sea Rays I've talked, they (54:19) really aren't product you want. So obviously, when a dealer gets a retail order, he'd like to deliver it tomorrow, and that retail order goes into the system and starts the bill process. So it just takes a little longer. I wouldn't say we're limiting supply. It's just the nature of some of the exciting new products we're bringing out and the nature of some of them being white space. In terms of trends we're seeing in the market, there really isn't – I wouldn't say there's anything new since we've talked in the August timeframe.
Tim A. Conder - Wells Fargo Securities LLC: Okay. Okay. And then...
Dustan E. McCoy - Chairman & Chief Executive Officer: Tim, I'm settling in here (55:00) if I could just interrupt. We made a comment a year or so ago that what we wanted to become was boring. We're very proud of the fact we're settling in to be pretty damn boring. It doesn't matter what happens in the marketplace. We're starting to deliver 15% to 20% pre-tax operating growth year after year after year. You're beginning to see EPS growth in high teens year after year. And we talked a lot about how we changed the cyclical nature of our business, how we've managed capacity, how we've managed costs. So whereas in years past, it would have been something we all would have been wringing our hands about looking at macroeconomic conditions. We are much more sanguine today about those. And we have great confidence in our ability to operate, handle whatever comes at us, and just keep putting up the numbers. And I think this year is a perfect example of that. We're getting whacked 4% off the topline by FX. As Bill detailed, $30 million in earnings, and we're putting up our numbers and growing margins. So as we look at ourselves, we are becoming quite proud of the fact we're a pretty dam boring company. We just now start putting it up, and we worry a lot less about what's happening out there.
Tim A. Conder - Wells Fargo Securities LLC: Well, congrats on that. Again, a great quarter, great execution and boring is good. If I may, two other small questions here. Mark, any update on the aluminum alloy, I know it's kind of a thing you guys have been working on for a while, some things going positive with some OEM potential clients? Any update there? And then any visibility when we could potentially start seeing a little bit of that royalty stream in the P&L? And then lastly, Bill – and I apologize if I missed this – if the R&D tax credit is reinstated, what level of benefit would we see on a full-year basis. Thank you, gentlemen.
William L. Metzger - Chief Financial Officer & Senior Vice President: I'll go first. It's about a point-and-a-half, Tim.
Tim A. Conder - Wells Fargo Securities LLC: Okay. Thank you.
Mark D. Schwabero - President, Chief Operating Officer & Director: And on the alloy situation, we've expanded, got a couple more people who are interested in what we are doing. But the test results, validation and everything, Tim, are right on schedule, right per the plan. You are not going to see really anything meaningful this year or early next year. But it's still an opportunity area for us as the development and test and validation comes to fruition.
Tim A. Conder - Wells Fargo Securities LLC: So potentially late 2016 would be the earliest we could potentially see something?
Mark D. Schwabero - President, Chief Operating Officer & Director: That would be the earliest. And think of model years and new cars, and when those kind of things go on, it'd be somewhere later in the year.
Tim A. Conder - Wells Fargo Securities LLC: Okay. Well, gentlemen, congrats again on the boring results.
Dustan E. McCoy - Chairman & Chief Executive Officer: Thanks, Tim.
Operator: Our next question comes from Joe Hovorka.
Joseph D. Hovorka - Raymond James & Associates, Inc.: Thanks, guys. A couple of quick questions. First, your global retail I think you said was down one. What was the industry for global retail?
Dustan E. McCoy - Chairman & Chief Executive Officer: We don't know.
Mark D. Schwabero - President, Chief Operating Officer & Director: I said lower end of 3% (58:39)...
Joseph D. Hovorka - Raymond James & Associates, Inc.: I'm sorry. You said 3, minus 3?
Mark D. Schwabero - President, Chief Operating Officer & Director: Quarter (58:46).
Dustan E. McCoy - Chairman & Chief Executive Officer: Look, we're saying for the year that the global demand will be, say, 3% thereabouts. It is difficult for us to really tell you on a quarter-by-quarter basis, Joe. And if I were to hazard something, it would just be a guess, which I don't really want to do.
Joseph D. Hovorka - Raymond James & Associates, Inc.: Okay. I would assume you're gaining share, though, I guess I was getting at in the third quarter globally?
Dustan E. McCoy - Chairman & Chief Executive Officer: Yeah, we're very comfortable we're gaining share...
Joseph D. Hovorka - Raymond James & Associates, Inc.: Right. But it's clear you could see it from the U.S. numbers, but I just wanted to make sure that was true for international as well.
Dustan E. McCoy - Chairman & Chief Executive Officer: Yeah, understand.
Joseph D. Hovorka - Raymond James & Associates, Inc.: Right. And then I know you've talked about – all year you said you wanted to ship one-to-one in boats and, of course, you under-shipped in the first half and now we've over-shipped here in the third quarter, and we're pretty much one-to-one at this point. So two questions, one, are you still on one-to-one for the full year 2015? And then also, did you expect the gap to be that wide in the third quarter, minus 1% at retail and a plus 11% at wholesale? Or did that change throughout the quarter?
Dustan E. McCoy - Chairman & Chief Executive Officer: No. Right on plan.
Joseph D. Hovorka - Raymond James & Associates, Inc.: Okay.
Dustan E. McCoy - Chairman & Chief Executive Officer: Right on plan, and we will finish one-to-one.
Joseph D. Hovorka - Raymond James & Associates, Inc.: Okay. Great. That's all I had, guys. Thanks.
Dustan E. McCoy - Chairman & Chief Executive Officer: Thanks, Joe.
Operator: Our next question comes from Jimmy Baker.
Jimmy Baker - B. Riley & Co. LLC: Hi, good morning. Thanks for taking my questions. Actually just a natural follow up to the last couple. So just given the disparity between the strength of the domestic market and what's going on abroad, could you maybe parse out the dealer pipeline domestically versus international? And I guess within that, I'm looking for some color on international channel inventory, but also wondering if you actually took fiberglass units out of the domestic dealer pipeline?
William L. Metzger - Chief Financial Officer & Senior Vice President: No, we've got visibility in the international pipeline, Jimmy, and it's not – they're right where they need to be. We've been adjusting them as we've gone along and we don't have any work to do there.
Jimmy Baker - B. Riley & Co. LLC: Okay. And the statement that's in your slide that your fiberglass units were down year-over-year. Is that true if you looked at just the domestic dealer pipeline?
Dustan E. McCoy - Chairman & Chief Executive Officer: Yes. It's true around the world.
Jimmy Baker - B. Riley & Co. LLC: Okay. And then lastly, could you maybe just speak to the financial health of your international dealers or distributors that are serving some of the more challenged markets? Are you anticipating much turnover there or needing to take any significant action on your part?
Dustan E. McCoy - Chairman & Chief Executive Officer: Not at all. Just a broader comment. As we saw the dealer network become more viable, more business savvy, more focused on the future, better at managing inventories et cetera in the U.S., we've – and that's all we've generally talked about. We've also seen that outside the U.S. And, in particular, the places that we look most would be Europe, South America, particularly Brazil, and Australia. And we have worked hand in hand with our dealers in all those regions as the sales have fluctuated, many which caused by currency et cetera. And we're working really well with them and we've got no real issue at all. Even maybe five years ago when we've gone through the recession, we still from time to time had big dealer issues pop up where we'd have big dollars on the table. It's just not happening anymore.
William L. Metzger - Chief Financial Officer & Senior Vice President: And if we have, we've been able to take care of it with minimal financial impact.
Jimmy Baker - B. Riley & Co. LLC: Thanks very much. Very helpful.
Dustan E. McCoy - Chairman & Chief Executive Officer: You're welcome.
Operator: Our final question comes from Randal Konik.
Rachel Adina Barnes - Jefferies LLC: Hi. This is Rachel Barnes for Randy. I – a few of my questions have been answered, but I just wanted to follow-up on some earlier comments made. Can you provide an update on what you're seeing in the promotional and competitive environment, particularly in the European boat market?
Mark D. Schwabero - President, Chief Operating Officer & Director: I guess there's – and I'll let Dusty add on to it a little here. But I mean, we're seeing a little more pricing on the U.S. side, not coming as a surprise to us. I guess the other point I would really like to point out is with our European manufactured boats, we're growing share in Europe. So as – a lot of focus goes to – well, what about the competitiveness in the U.S., but we are very nicely growing U.S.-branded products manufactured in Europe, as well as European-branded products growing there. So we are having some nice growth in the European market also.
Dustan E. McCoy - Chairman & Chief Executive Officer: This is something that Mark and Bill and I have talked about a lot, and we've talked about on this call in years past. When you look at the global boat market, we are starting to settle in with just a handful of global players, people who can be in every region. And the European boat builders come to the U.S., they are doing exactly what one would expect them to do, but we are working really hard in Europe, as Mark said. And I just want to give you a statistic. In the third quarter, on a constant currency basis, we're up 28% in Europe with our boat brands. And that's local boat brands and U.S. boat brands that we build in plants in Europe. And we're able to take the fight to this handful of players anywhere in the world, anybody wants to have it, and we're being successful doing it.
Rachel Adina Barnes - Jefferies LLC: Great, thank you. And if you have a second, just some more color on how you feel about inventory levels.
Dustan E. McCoy - Chairman & Chief Executive Officer: Spectacular.
William L. Metzger - Chief Financial Officer & Senior Vice President: Yeah, we're in really great shape.
Rachel Adina Barnes - Jefferies LLC: Great. Thank you, guys.
Dustan E. McCoy - Chairman & Chief Executive Officer: Thank you.
Operator: We have no further questions at this time, I'd like to turn the call back over to Dustan McCoy for some concluding remarks.
Dustan E. McCoy - Chairman & Chief Executive Officer: As always, we appreciate everybody's interest and the great questions. We're really excited about our November 10 meeting coming up. If you can't be there in person, you certainly ought to be there by phone. It's going to be a great meeting and we've got some very exciting plans to talk about our great company between now and 2018. So thanks for everything and we'll be talking to you on the 10th.